Operator: Good day, everyone. Welcome to the NBT Bancorp Third Quarter 2021 Financial Results Conference Call. This call is being recorded and has been made accessible to the public in accordance with the SEC's Regulation FD. Corresponding presentation slides can be found on the company's website at nbtbancorp.com. Before the call begins, NBT's management would like to remind listeners that as note one, slide two, today's presentation may contain forward-looking statements, as defined by the Securities and Exchange Commission. Actual results may differ from those projected. In addition, certain non-GAAP measures will be discussed. Reconciliations for these numbers are contained within the appendix of today's presentation. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over to NBT Bancorp's President and CEO, John H. Watt Jr. for his opening remarks. Mr. Watt, please begin.
John Watt: Good morning and thank you for participating in our earnings call, covering NBT Bancorp's year-to-date and third quarter 2021 results. Joining me today are NBT's Chief Financial Officer, Scott Kingsley; our Chief Accounting Officer, Annette Burns; and our Treasurer, Joe Ondesko. At NBT we continue to experience momentum across the markets we serve and a business climate that is generally vibrant, although, not without pockets of volatility, despite the ongoing impact of COVID. The headline for today is that we are pleased to report earnings per share of $0.86 for the third quarter, which is a consistent and productive result. Our team increased commercial and consumer loans with growth of 2% on a linked-quarter basis, excluding PPP, and we managed our total cost of deposits down to 10 basis points. At the end of the third quarter, the commercial pipeline and the customer acceptance and moving to closing stages was over $300 million. This pipeline covers our seven-state banking platform. Credit quality remains strong, as nonperforming and criticized assets both declined in the quarter. Our balance sheet is also strong and our ability to generate capital is robust, with tangible book value per share growing nearly 10% since the third quarter of 2020. The strength of our balance sheet continues to provide optionality to consider the opportunistic and strategic deployment of our capital. With non-interest income to total revenue at 34%, our diversified fee-based businesses had a great quarter. AUM and AUA was $9.7 billion at the end of the Q. Across our New England footprint, we are advancing our organic growth strategy by leveraging the market disruption occurring in that region. We have hired both customer-facing bankers and team members focused on operations and support. We have also started to convert customers and believe we are at the front end of a multi-year growth strategy. In August, we welcomed Ruth Mahoney to NBT and our executive management team, as the President of Wealth Management. Ruth has more than 30 years of experience in wealth management, private banking, retail banking and regional leadership. She joins us after many years as a senior banker at KeyCorp [ph] in New York's capital region. We're fortunate to have Ruth on our management team. To walk you through the detail on our third quarter financial performance, I will now turn the call over to Scott. And following his remarks, we'll take your questions. Scott, over to you.
Scott Kingsley: Thank you, John. Turning to slide four. Our third quarter earnings per share were $0.86. These results were driven by favorable credit metrics and strong fee income. We recorded a negative provision of $3.3 million in the quarter. Charge-offs remained very low at 11 basis points. Our reserve coverage decreased to 1.28%, excluding PPP loans, from 1.38% at the end of the second quarter of 2021. Overall, we continue to be pleased with our underlying operating performance. Slide five shows trends in outstanding loans. On a core basis, excluding PPP, loans were up approximately $132 million for the quarter, or 1.8%. As John suggested earlier, commercial activity has steadily improved and we continue to have good momentum in several of our businesses. Commercial line utilization remains a headwind but new originations have been good. The lack of vehicle inventories has continued to challenge net results in our indirect auto portfolio and we experienced a decline in outstandings for the fifth consecutive quarter. Also as a reminder, we have additional information on PPP lending on slide 13 in the appendix of today's presentation. Our total PPP balances are now around $276 million with forgiveness well underway for both the 2020 and 2021 vintage loans, we have recognized $21.1 million in total fees associated with PPP lending and we have $10.7 million in unamortized fees remaining. We expect a significant portion of these to be recognized later this year. Moving to slide six, deposits were up $410 million for the quarter as seasonally expected with our demand deposits up $165 million. Customer balances remained elevated from liquidity associated with various government support programs. Our quarterly cost of deposits declined to 10 basis points and we continue to add new accounts. Next on slide seven, you'll see the detailed changes in our net interest income and margin. Net interest income dollars decreased $1.5 million as compared to the second quarter related entirely to lower PPP forgiveness. The net interest margin was down 12 basis points with compression in asset yields partially offset by lower funding costs. Excess liquidity net of PPP activity continued to be a drag on our margin, but we again remind ourselves that low-cost core funding should always be viewed as a long-term value driver. Looking forward as assets continue to reprice in a low rate environment, we would expect to continue to see some additional core margin pressure. As such as we deploy liquidity into more productive earning assets over the next several quarters, we are striving to achieve stability in core net interest income results. Slide eight shows trends in non-interest income. Excluding securities gains and losses, our fee income was up linked quarter to $40.4 million or 2.6%. More broadly, non-spread revenue was 34% of our total revenue which remains a key strength for NBT and we're pleased with the trajectory of each of the nonbanking businesses we're in and continue to believe they are all investable. Retail banking fees were up linked quarter due mostly to higher card-related activities. Wealth and retirement plan administration fees had another strong quarter on new business wins and market appreciation. Turning to non-interest expense on slide nine, our total operating expenses were $72.9 million for the quarter and we continued to demonstrate effective cost awareness. We did incur an additional $2.3 million of non-recurring costs in the quarter related to an estimated litigation settlement. We'd expect core operating expense to drift modestly upward over the next several quarters. On slide 10, we provide an overview of key asset quality metrics. Excluding the impact of PPP, net charge-offs remained lower than historical norms at 12 basis points. Both NPLs and NPAs declined this quarter. Observed credit metrics have been much better than what would have been suggested by the CECL models at this time last year. On slide 11, we provide a walk forward of our reserve. Clearly the economic outlook continues to improve, but uncertainty remains elevated. Excluding PPP, our allowance to loans ratio was 128 basis points, an appropriately conservative estimate of the credit risk in our portfolio today. We continue to believe that the path of charge-off activity will return to more historical norms and along with expected balance sheet growth will likely be the drivers of future provisioning needs. As I wrap-up my prepared comments, some closing thoughts. We started 2021 on strong footing and we are pleased with the fundamental results of the first nine months of the year. Stable net interest income, good results from our recurring fee income lines, sustained expense discipline, and exceptional credit quality outcomes have been clear highlights. It's also worth mentioning that we've added over $121 million to capital over these last historically challenging seven quarters; while at the same time paying dividends to our shareholders of $82.8 million and buying back $22.1 million of our own shares. These meaningful capital accumulation results put us in an enviable position as we consider growth opportunities for 2022 and beyond. With that we're happy to answer any questions you may have at this time.
Operator: [Operator Instructions] Our first question comes from Alex Twerdahl with Piper Sandler. Your line is open.
Alex Twerdahl: Hey, good morning, guys.
John Watt: Good morning, Alex.
Scott Kingsley: Good morning, Alex.
Alex Twerdahl: First off I wanted to I guess start with the sort of the loan growth outlook. And John in your prepared remarks the $300 million pipeline. That's certainly very helpful. Just wondering if you could give us a little bit more color on sort of just I guess expectations into next year. Are you seeing in terms of that pipeline is there some backlog and some catch-up there, or is it to build which geographies are the strongest? Things like that.
John Watt: Sure. I'll talk a little bit about the environment and maybe Scott will supplement after that. Across the platform we see both on the CRE front and in C&I lots of activity. I can think of on the C&I side in Central New York and over in Massachusetts manufacturers looking to invest in their plant and equipment, expand their production lines and we're actively engaged in supporting them to do that. Multifamily still in the tertiary cities that we serve is active and the vacancy rates in those cities are very low. Demand is still high. So we're supporting our Tier 1 developers across the platform there. There's a little lumpiness maybe in some of the pipeline associated with construction loans that we will syndicate once we close. So that will lower the hold to NBT at the closing table. So I wouldn't call it a backlog or pent-up demand Alex, I'd just call it continued momentum going into next year and for the obvious reasons. In the last 30 years, it's never been an environment where you could access capital at the levels and at the rates that are available today and that's a function of excess liquidity on the balance sheets of all the banks. So obviously, we're trying to manage the yield and sometimes it's hand-to-hand compact competitively to make sure that we're achieving the return that's appropriate for us on each individual loan. But it's active in various sectors across the whole platform. 
Scott Kingsley: Alex it's Scott. I'll jump into a couple of comments even kind of by line of business as you had asked. On the commercial side generally C&I side generally flat balances. But as a reminder that's the group of customers that have significant deposit balances and significant cash on hand today very, very strong balance sheet. So to the extent that they do have meaningful capital expenditure or business expansion needs a lot of them have that liquidity already sitting on their balance sheet. John made some comments around commercial real estate. I think we're probably seeing a little bit more robust activity in Southern Maine and Southern New Hampshire than maybe some of the legacy markets of community bank – or excuse me, of NBT but had – I would note that it's pretty strong across the board. There really isn't – there really hasn't been any particular areas that have shown any kind of weakness. Residential real estate will continue to be good for us I think. Getting things through the system from a throughput standpoint, it should be a marvelous time to have a home equity loan if you're a consumer. And quite frankly, I think people are just jumping straight to the residential real estate mortgage because the rates are so low why take that risk when they can find such a low rate instrument? Indirect auto has been interesting for us. Our portfolio is generally just auto. So it does not include things like recreational vehicles or 4-wheeler snowmobiles. We don't do a lot of that. So, it's been mostly auto. So the lack of inventory at the dealer level has truly been indicative of the lack of our ability to see a consistent flow of contracts that we might have hoped for at this point in time in the cycle. I don't know whether we're at the bottom relative to outstandings rather we have another quarter or two to live through with that. But generally, we're certainly not projecting huge growth dollars in that for the next couple of quarters. But we'd like to see that going back. No change in our dealer mix. Everybody is still -- that we're engaged with has been very engaging. Specialty lending has really been a bright spot both on the solar lending and again some of the other platforms we participate on, stuff that we like. And kind of as a reminder that is stuff where we control the credit box. So, our partners are using our credit mechanisms. So, in terms of the assets that we're putting on the balance sheet those sets that we're pretty fond of and think that there's opportunity. Roll all that together Alex, mid-single-digit type growth rates are probably the right prognostication at the current time. And I think if we see other opportunities in some of our incremental markets maybe it's a touch better than that. 
Alex Twerdahl: Great. And just I had two follow-up questions on that. First on the specialty lending. Is there some seasonality in there? It seems like the third quarter was particularly strong there?
Scott Kingsley: Yes. On the specialty side the third quarter was strong. It really was. And so that would be the one -- that was probably the only portfolio I would say that there was any seasonality to in terms of some of the demand things that we were seeing. But as you know I mean whole technology-enabled assisted lending has really got some legs at these days and kind of that's our version of that where things are happening in more of a real-time basis. And I'll give you an example. As it relates to solar loans, we'd probably like to convince a whole bunch of those customers to have a home equity loan. It would probably be an instrument that a longer term would tie better to their personal needs, but it is so easy to work through the process in this solar lending outcome. And in fairness the yields are a little bit higher. So we're good with that outcome. And clearly the installer base on these residential solar projects like the platform that's out there. So I think we could continue to expect some growth there. 
Alex Twerdahl: Great. And then I guess the other thing that we've talked about in the past is the paydowns. So obviously in this rate environment it's been a decent headwind. Do you have any sort of line of sight into larger paydowns that could be coming up in the fourth quarter? 
Scott Kingsley: Yes. There's a couple and John feel free to chime in. But there are certainly a couple of larger ones that we're preparing for. And it's interesting. I don't know that we've seen the borrower pay down and utilize their excess liquidity as often as we maybe would have expected in the cycle. I think generally our borrower base is sort of generally conservative in nature. So kind of much like our balance sheet they're hoarding some cash. But what we have seen is a little bit of churn in the portfolio.  And we have seen the existence of certain either government-sponsored programs where the customer has been able to go to a government program and get a better outcome than they can get from us. And a couple of instances of nonbanking investors insurance-related enterprises. More episodic than systematic at this point in time but at the same point in time existing. 
Alex Twerdahl: Okay. Great. That's helpful color. And then just the other question I wanted to just kind of hone in on is, we've seen a little bit of modest pickup in merger activity within your markets. And I was just hoping that you can remind us in terms of the -- for NBT's appetite for M&A in terms of both geography size and then just the appetite from a financial standpoint?
John Watt: Well thanks for that question. And we had this dialogue going on now for a couple of years Alex as you know, this company has been successful for a long time leading with its organic growth strategies and expansion markets right now. Those expansion markets are in New England. But we've always said that, if we were to meet a complementary partner who would help advance and accelerate our strategic plans in those expansion markets that we'd like to form a partnership there. And it's a function of cultural alignment. It's a function of integration ease. It's a function of how on a contiguous basis we can accelerate our expansion. Scott said it earlier, we have lots of optionality right now plenty of capital. There is activity across our markets as you suggest. And I would suspect that some of those potential partners are slugging it out through their budget process right now and thinking about what their options are and thinking about whether scale could be a solution to what is a difficult interest rate environment for the next year and also thinking about what our technology platform might be able to add to their customer base. So those dialogues continue. They are in New England contiguously in Pennsylvania perhaps and Western New York State selectively. But like I said, we win on organic growth and we're not looking to do financial engineering. We're looking for long-term strategic value for our shareholders by doing a deal that accelerates what we otherwise would be doing on our own. So we'll see what happens. But we're in a good position to field all calls and make a lot of calls and we'll see where that takes us.
Alex Twerdahl: And then just in terms of the size that you'd be willing to contemplate. Would it be the $0.5 billion to $5 billion in terms of assets, or how would we frame how you would even what you'd consider digestible?
John Watt: That's a great floor and a great ceiling there. It's -- $0.5 billion up to $4 billion, $5 billion in that range. I think they're digestible depending on who the partner is depending on what their lines of business are, how complementary they are. And how aligned we are. But I think that's a good range Alex.
Alex Twerdahl: And then I guess just not to beat the dead horse here, but historically NBT has really grown organically in the wake of other M&A in some of your geographies. And then the acquisitions that you've done have really been to dive into a geography where you've got really nothing going on, or very little going on you can really accelerate that growth very quickly. Is that how we should think about a deal that if it was a new market where you didn't have much of a presence, M&A would be much more likely than in a market where you already have some existing infrastructure?
John Watt: So I might choose a little different words there. But what I would say is could we advance our strategic growth by being vertically deeper in certain of the markets where we are with loan production offices and more limited product offerings? Absolutely. And there are plenty of opportunities within those geographies where we already are to vertically go deeper and expand our presence, our brand recognition, the product offering, retail, commercial, wealth, insurance. So all of that's quite possible. And then continuously we're comfortable with the dynamics of those markets. I could see us taking a step with the manageable size, meeting all the criteria I previously laid out, to have a conversation and see whether that's possible. So that's how we think about it.
Alex Twerdahl: Thank you for taking my questions.
John Watt: Hey, thank you. Good to talk to you.
Operator: [Operator Instructions] Our next question comes from Eric Zwick with Boenning and Scattergood. Your line is open.
Eric Zwick: Thank you. Good morning, guys.
John Watt: Good morning, Eric.
Eric Zwick: Wondered if I could start, maybe, John, your comments on leveraging market disruption in your northeast market. And you mentioned I think you've hired some customer-facing employees, as well as some office support. Curious, have you added any lenders, or do you have an appetite to add any commercial lenders in any of your markets? And then, what the kind of level of competition for talent is today?
John Watt: Hey. I appreciate that question. And it has been very active in New England across the five-state platform. So we have hired customer-facing, primarily commercial lending officers, but also mortgage LOs as well in Maine, New Hampshire, Vermont, Massachusetts, Connecticut. In addition, we've had the opportunity to supplement what goes on in the support units of our company by hiring folks who perceive that they may not be part of a long-term combined strategy with one of those large acquisitions that's going on. So we've invited on to our team up in Burlington, Vermont, several folks who are supporting the backroom. And skill sets there match what we otherwise were in the market for. So we're being opportunistic about it. There is a pipeline of folks that we'll continue to have dialogue with. And as I suggested in my comments, this is a multi-year strategy and we'll be at this for months and years as we build on the opportunity that presents itself over time. As you know, in those large transactions, things happen in stages. And at each stage, the potential to meet a new partner or a new team member presents itself. And we're pretty good at knowing who's in the market and who might be willing to have those conversations and we do that.
Eric Zwick: Thanks for that detail there. And then, Scott, you mentioned you expect expenses to drift modestly upward over the next several quarters. One, I guess, can you remind me when the annual merit increases are layered into your expense run rate? And also, just how you’d expect the outlook for higher inflation to potentially impact expense growth over the kind of near to midterm?
Scott Kingsley: Sure, absolutely. So, I think, generally speaking, if you took the baseline that was the third quarter and extracted out the nonrecurring charge that we took. That's a pretty reasonable baseline for where we are today. Merit increases for us are mid-first quarter and quote, not right at the beginning of the year, but certainly using before the 1 of March. And so, we would expect sort of consistent mid-low single digits 3-ish percent type of a range for increases in costs associated with merit, as well as a little bit of the necessity to continue to make sure that we're holding on to our good people, if we happen to be in certain instances where we just find ourselves not as [Technical Difficulty] or the day before. So I don't think that's a gigantic risk in a lot of our markets, but it's out there. In terms of other inflationary concerns, Eric for us, our technology costs are -- I don't want to necessarily say they're fixed, but they are determinable. And for most of our larger costs we're contractually bound not only with our core system, but with some of the peripheral systems that we're using for a support standpoint. Generally, the fixed side of our branching network is very adequate today and we do see a couple of potentials for some incremental opportunities, but we also probably see some potential where customer traffic behavior would suggest that longer term consolidation or rightsizing opportunities are probably out there for us. But from a general standpoint, I think the third quarter was a good lift off point to think about. I think it's worthy to trend salaries and benefits forward into 2022 at a 3% to 4% rate. And then probably add a little bit of expenses into our other buckets because we probably expect to have a higher level of engagement with our folks. A little bit more travel, probably a little bit more outside of the building education, meetings, things even customer-type outcomes that we would expect would add a little bit to that, but nothing off the charts.
Erik Zwick: That's helpful. Thanks. And then with regard to the remaining PPP unamortized fees. I think it's $10.5 million of the balance. You mentioned kind of a significant portion to be realized later this year. Is that -- I'm just trying to think about that as potentially 50% or greater in 4Q and then the rest over the next kind of I guess the first part of 2022. Is that the right way to think about it?
Scott Kingsley: It's the right way to think about it. Probably more than half in the fourth quarter. We've already had really noticeable activity on forgiveness here in the month of October. And so I think that's a good way to frame it. I also think that remembering that they won't all necessarily go away in just the first couple of quarters of the year. There are going to be those stray assets out there that will probably get into just an amortizing 1% loan. So, some of those will go a little bit longer. I don't think that will be a huge group for us but a little bit longer. But you'll probably see a little bit of "PPP" forgiveness and fee benefit in the first couple of quarters of the year. And then I think it would taper off to the point where it clearly will not be material to the outcome. 
Erik Zwick: Great. Thank you so much for taking my questions today.
Scott Kingsley: Thank you, Erik.
Operator: Thank you. And I'm showing no further questions. At this time, I would like to turn the call back to John Watt for his closing remarks.
John Watt: Thank you. And in closing I want to thank all of you for participating in our call and for your interest in NBT. And as always, Scott and I are available for any follow-up so please reach out. And as Scott suggested, in 2022, we look forward to seeing more of you in person as the ability to be out there and be safe presents itself. So, thank you everybody and have a great day.
Operator: Thank you. Mr. Watt. This concludes our program. You may now disconnect. Everyone, have a great day.